Operator: Good day, and welcome to the Dollar Tree, Incorporated’s Fourth Quarter Earnings Conference Call. Today’s conference is being recorded. At this time, I’d like to turn the conference over to, Vice President of Investor Relations Mr. Tim Reid. Please go ahead.
Timothy Reid: Thank you, Devonah. Good morning, and welcome to the Dollar Tree Conference Call for the Fourth Quarter of Fiscal 2013. Our call today will be led by Bob Sasser, our Chief Executive Officer, who will provide insights on our performance in the quarter and recent developments in our business. Kevin Wampler, our Chief Financial Officer, will provide a more detailed review of our fourth quarter financial performance and provide our guidance for 2014. Before we begin, I would like to remind everyone that various remarks that we will make about future expectations, plans and prospects for the company constitute forward-looking statements for the purposes of the Safe Harbor provisions under the Private Securities Litigation Reform Act of 1995. Actual results may differ material from those indicated by these forward-looking statements as a result of various important factors included in our most recent press release, most recent current report on Form 8-K, quarterly report on Form 10-Q and annual report on Form 10-K, all of which are on file with the SEC. We have no obligation to update our forward-looking statements, and you should not expect us to do so. As a reminder, in the 2012 results, last year’s results include the impact of the 53rd week which contributed approximately $125 million of sales, $17.8 million of net income and $0.18 earnings per share. Also in September of 2012, Dollar Tree, Inc. sold its ownership interest in Ollie’s Holdings, Inc. that sale had a favorable impact on the 2012 earnings, with an increase to net income of $0.16 per diluted share. At the end of our planned remarks we will open the call to your questions. (Operator Instructions). Now I’d like to turn the call over to Bob Sasser, CEO of Dollar Tree. Bob?
Bob Sasser: Thanks, Tim and good morning, everyone. This morning, we announced results for the fourth quarter of 2013. Our comp store sales increased 1.2% as a result of equal growth in both traffic and ticket. Net sales were $2.235 billion and earnings were a record $1.02 per diluted share comparing the 13 week fourth quarter in 2013 against the 14 week fourth quarter in 2012 this represents a 1% increase. On a comparative three week basis quarterly earnings increased 9.7%. For the full year 2013 comp store sales increased 2.4% largely as a result of increased traffic. Net sales grew to $7.84 billion and earnings for the full year were record $2.72 per share. The improvements in 2013 were achieved on top of record 2012 results that included $60 million of income from the sale of Ollie’s and 125 million incremental sales from the 53rd week last year. The combined benefit of these two events accounted for $0.24 earnings per share in 2012 and of course we did not have those two events in our results for 2013. It was a challenging quarter best characterized as a short selling season and persistently bad weather. Because of these unusual events I am going to give you a little more color in detail on the quarter than I normally give. We had a great plan that was well executed when the stores were opened and the customers could shop our results were more accurately reflective of the underlying strength of our business. In November, I will remind you that we had two calendar shifts that negatively affected results. This year Halloween sales moved out of November and out of fourth quarter and back to third quarter and Thanksgiving moved a week later. As a result, we lost six selling days between Thanksgiving and Christmas. These two calendar shifts combined represented a $30 million sales challenge to fourth quarter and specifically to November. With the Thanksgiving shift as expected comp sales were lowest in November but above our plan as we were able to offset some of the impacts of the calendar shifts through merchandising initiatives. Moving forward in the quarter, a succession of major winter storms impacted significant portions of North America beginning the week of Thanksgiving and continued throughout January. To add some color, out of the full 91 days in the quarter 33 days were negatively affected by winter storms that forced a large number of store closures were partial openings and even larger number of stores that opened but sales were negatively impacted by the poor conditions. In December, more than 700 store selling days were negatively impacted by store closures in spite of this December was our strongest month of the quarter. Comp sales grew nearly 4% in December and we would have done better if not for the days lost to the winter storms. I am extremely proud of our store team who worked tirelessly to adjust to the lost days and provide a great seasonal presentation and outstanding execution throughout the holidays. In January the pattern of severe weather continued the number of store selling days negatively impacted by store closures increased from more than 700 in December to more than 2,000 store selling days in January almost triple. Inspire of this, January comp store sales were still slightly positive. When you look at the weather by region as you would expect the best performance was in the Southeast followed closely by the Southwest. However, even in the Southern regions we were impacted, I am sure everyone saw TV coverage of the weather disruption in Dallas, Atlanta, Charlotte, Rowley and other Southern cities as winter storms caused power outages and created havoc on the highways. As you would expect the lowest comp sales performance was in the Midwest and in the Northeast as these areas were the hardest hit by the winter storms. Reflecting continuing success of strategies that were implemented earlier in the year top performing categories in the quarter were our checkout and impulse department, frozen and refrigerated products, stationary, candy and party supplies. The holiday promotional plan was tightly coordinated and well executed in November our stores transitioned quickly from Halloween to Christmas. The store teams worked late on the evening of October 31st to make sure the store fronts showed at Thanksgiving and Christmas upon opening for business November 1st. Our Wow Table at the front of the store was focused each week on basic needs for the holidays, these were things key items like full pants, turkey basters and floor mats. INCAT were built to promote catering, food storage, kitchen gadgets and seasonal baking needs. Our fall lease Tabletop promotion including glassware, dinnerware, napkins and placemats was a big hit and an early sale out in many of our stores. Christmas Décor was set to promote early sales with a selling season compressed by the calendar shift we wanted to exploit the early opportunity. In an early December right after Thanksgiving our Wow Table was again focused on tabletop with beautiful holiday dinnerware, glassware, stemware, charger place, table runners and placemats everything to set the best holiday table imaginable. The product was picture perfect and of course everything was just well. A new event was created for December called the last 10 days the idea was to bring all the last minute categories together and remerchandize the front of the store with the purpose. With the short holiday season the intention was to make sure our customers’ needs were met at all times the last 10 days event focused on wrap it, box it and bag it. Our seasonal wall converted to Christmas give bag headquarters with everything you need to bag that perfect gift including the related tie-ins like tags and tissue. Major displays of roll wrap, gift boxes, bows, tags, tape and scissors were merchandized upfront along with the novelty boxes, cookie tins and gift jars. Last minute guests were all grouped together and our stocking staff at toy selection rounded out the effort. Displays were full fun exciting and relevant to our customers’ needs and our customers responded favorably. I am especially pleased with our inventory management this year and in the fourth quarter with 231 more stores at year end combined with the sales challenges of the fourth quarter we ended the year with less average inventory per store than last year. Through the superb efforts of our merchants and logistics teams the inventory was appropriately allocated replenished and delivered to the stores. As a result, our seasonal sell-through was good, our basic in-stock was maintained and when the customers were out shopping our stores were ready. We started fiscal 2014 on plan with clean inventories well prepared to support new store openings and sales plans in the first quarter. In addition to inventory management I am very pleased with expense management in the fourth quarter. SG&A expenses fell in the quarter from 21.7% to 21.3%. Much of this was accomplished by the terrific performance of store operations through initiatives focused on freight productivity and keeping the sales forward full, proper scheduling to the needs of the customer and emphasis on properly recovering the store every day and against the top sales backdrop including three major resets of the front of the store, the store teams were able to increase productivity, improve store conditions and improve the customer experience. This quarterly performance speaks to the value and relevance of our merchandise the power strength and flexibility of our model and a day by day execution of our strategy across the organization. Despite challenges we grew top line sales, we grew comp store sales and we grew earnings per share. Looking forward, we’re positioned to continue relevance to the customer sustained growth and increased profitability. We have room to grow and the ability to grow in many different ways by opening more stores, by opening better more productive stores, by increasing the productivity of all stores and developing new formats, new markets and new channels as growth vehicles. During the fourth quarter of this year we opened 51 new stores and relocated and expanded another four stores. For the full year of 2013 we added 343 new stores and expanded or relocated 71 existing stores for a total of 414 projects. Selling square footage increased 6.9% and we ended the quarter with 4,992 stores. For the full year 2014 our plan includes approximately 375 new stores and 75 relocations for a total 450 projects across the US and Canada. Square footage is planned to increase 7% over fiscal 2013. In addition to opening more stores we have plans to open better and more productive stores, this has been the result of the coordinated process, concentrating on improved site selection, rightsizing our stores, expanding our assortments improve staffing and building the bench of qualified store management. In 2012, new store productivity reached its highest level since 2001. Our 2013 class came in slightly below last year but historically strong we believe the stores that we opened in Q4 especially the ones affected by the winter storms will continue to annualize at a higher sales per foot as we continue through the year. Elements of the strategy to increase the store productivity can be seen throughout the chain. In recent quarters we have described some of our category specific initiatives to drive sales. In all stores customers are seeing more powerful seasonal and party presentations. We continue to rationalize and expand assortments across a chain of stationary, candy, health and beauty care and home and household products. Store associates are emphasizing more effective customer engagement and working to drive sales of related items through a cross merchandizing and through suggestive selling and we’re rolling out freezers and coolers at a faster pace. In the fourth quarter we installed freezers and coolers in 42 additional stores, for a total of 608 store installations for the year and exceeding our plan. We now offer frozen and refrigerated products in 3,157 stores. This year we intend to add freezers and coolers to 320 additional stores and to expand the size of the department in 50 existing frozen and refrigerated stores. This category serves the current needs of our customers, drives traffic into our stores and provides incremental sales across all categories including our higher margin discretionary products. Another key component of our growth strategy is the expansion of deals Dollar Tree Canada and Dollar Tree Direct. Our deals format extends our ability to serve more customers with more categories and increases our unit growth potential. Deal stores delivered low prices on everyday essentials party goods, seasonal and home product. By lifting the restriction of the $1 price pointed deals we’re able to serve more customers, with more products at value prices every day. Consistent with our plan, we opened 29 new deal stores in 2013 including four new stores in the fourth quarter. We ended the year with the net total of 214 deal stores. Our Canadian integration and expansion continues we opened 41 new Dollar Tree Canada stores in 2013 including five new stores in the fourth quarter ending the year with the 180 stores in Canada. Store count grew by almost 29% for the year slightly more than our stated plan of 25%. Leveraging the buying power of Dollar Tree our merchants are sourcing higher value products and our Canadian customers are finding broader more exciting assortments and better values in the stores, we see enormous potential in Canada as we grow and improve we believe the Canadian market can support up to a 1,000 Dollar Tree stores. This is in addition to the 7,000 store potential for Dollar Tree in the United States plus additional growth in our deals format. Our goal is to be recognized by customers as the leading retailer in Canada at the single price point of $1.25 just as we are in the US at the $1 price. Adding to our growth strategy Dollar Tree Direct our e-commerce business is expanding rapidly, Dollar Tree Direct provides an opportunity to broaden our customer base, drive incremental sales, expand the brand and attract more customers into our stores. Some key milestones achieved in 2013 included 20% growth in the site traffic which exceeded 6 million unique visitors in the fourth quarter. This includes a 67% increase in customer traffic via mobile devices during the fourth quarter. Dollar Tree Direct and Deals Direct now have over 3,800 items available online including more than 1,700 unique items that can be purchased in less than case quantities an increase of 50% versus the same time last year. Now I would like to turn the call over to Kevin who will give you more detail on our financial metrics and provide guidance.
Kevin Wampler: Thank you, Bob. As Bob mentioned the company reported diluted earnings per share of $1.02 for the fourth quarter of 2013 this represented a 1% increase versus the 14 week fourth quarter of 2012 and a 9.7% increase on a comparative 13 week basis. As we look at the income statement please keep in mind that the extra week in the fourth quarter of last year contributed $125 million of sales and about $0.08 to earnings per share to the fourth quarter of 2012. Our gross profit margin was 36.9% in the fourth quarter of 2013 compared with 37.9% in the fourth quarter of last year. Substantially all of the decrease was driven by occupancy and distribution expenses reflecting the loss of the benefit of the extra week of sales last year, lower leverage from a 1.2% comp and the incremental expense associated with the ramp up of our new DC in Windsor, Connecticut while maintaining a high level of service to the stores as we realigned DCs consistent with our added capacity. Merchandise margin was similar to the same period last year driven by continued improvements in initial mark-up reflecting a 60 basis points shift towards discretionary products and continued improvements in sourcing. These improvements were partially offset by 10 basis points increase in shrink expense which remained the low 2% of sales. SG&A expense was 21.3% of sales for the quarter compared with 21.7% reported in the fourth quarter of last year. Payroll related expenses declined by approximately 50 basis points due to lower expenses were performance based, incentive compensation and retirement plan contributions as well as improved store labor productivity compared with the last year. Operating and corporate expenses increased by 5 basis points driven by higher utility costs and depreciation increased 10 basis points primarily reflecting the impact of the extra week last year. Operating income of $348.2 million in the fourth quarter was $15.3 million less than a record $363.5 million in operating income for the 14 week fourth quarter last year. Operating margin was 15.6% compared with operating margin of 16.2% in the fourth quarter of last year which included a 40 basis points benefit from the extra week. For the full year of 2013 operating income $50.2 million and our operating margin was 12.4% compared with 12.4% last year. The tax rate for the quarter was 37.2% versus 37% in the fourth quarter last year for the full fiscal year the tax rate was 37.5% compared with 36.7% in 2012. Looking at the balance sheet and statement cash flow, cash and cash equivalents at year end totaled $267.7 million versus $399.9 million at the end of fiscal 2012. During 2013, we invested $1.1 billion for share repurchase including a $1 billion accelerated share repurchase program, as you may recall in September the Board of Directors authorized a 2 billion share repurchase program, under the new authorization the company invested 1 billion for share repurchased through the accelerated share repurchase program that was launched on September 17th. The ASR was funded by $250 million of available cash and $750 million from a private placement of senior notes completed in September. We received 15 million shares as part of the ASR in 2013 all during the third quarter no shares were delivered in the fourth quarter. All additional shares repurchased under the ASR will be delivered to the company on or before June 2014. The diluted weighted average shares outstanding for the fourth quarter were 209.3 million we will update you on any additional shares delivered as part of the ASR when we will report results for the first quarter. Our consolidated inventory at year end was 6.6% greater than at the end same time last year while selling square footage increased 6.9%. Consolidated inventory per selling square foot decreased 0.3% this includes inventory on the water and in our distribution centers relating to the later Easter our spring fling promotion and our first quarter store openings. We entered 2014 with liner store level inventory than last year reflecting our inventory management plan. We believe that current inventory levels are appropriate to support scheduled new store openings in our first quarter sales initiatives. Capital expenditures were $46 million in the fourth quarter of 2013 this compared with 75.5 million in the fourth quarter of last year. For the full year of 2013 capital expenditures were $330.1 million compared with $312.2 million in 2012. For 2014 we’re planning consolidated capital expenditures to be in the range of $350 million to $360 million. Capital expenditures are focused on new stores and remodels including additional fee development stores. The addition of frozen and refrigerated capability to approximately 320 stores, IT system enhancements the expansion of our Joliet, Illinois distribution center and the beginning phases of work on our 11th distribution center. Depreciation and amortization totaled $50.3 million for the fourth quarter versus $46.9 million in the fourth quarter last year. For the full year depreciation was at $190.7 million a 5 basis points increase from the last year, where 2014 depreciation and amortization is estimated to be in the range of $200 million to $210 million. Our guidance for 2014 includes the following assumptions first in regards to freight expense, we will soon be negotiating new ocean rates that become effective on May 1st. As always we cannot predict the outcome of those negotiations, nor can anyone accurately predict the direction of these appraisals for the next year. For this reason, our guidance assumes that ocean freight rates and diesel prices will be similar to the current levels on average throughout fiscal 2014. Second Easter is three weeks later this year, this represents an $8 million sales opportunity in the first quarter. Also as we look ahead to the fourth quarter this year there is one additional selling day between Thanksgiving and Christmas which returns us to a more normal pattern than last year. Our guidance also assumes a tax rate of 38.4% for the first quarter and 38.2% for the full year weighted average diluted share counts are assumed to be 207.9 million shares for the first quarter and 206.7 million shares for the full year. While we still see share repurchase as a good use of cash, our guidance assumes no additional share repurchase other than the expected completion of share deliveries related to the ASR. With that in mind for the first quarter of 2014 we are forecasting sales in the range of $1.98 billion to $2.04 billion and diluted earnings per share in the range of $0.63 to $0.68 which would represent a 9% to 17% increase compared to the first quarter of 2013 earnings of $0.58 per diluted share. The sales range implies a low single digit comparable store sales increase and 6.7% square footage growth. For the full year of 2014 we are forecasting sales in the range of $8.35 billion to $8.58 billion based on a low single digit increase in comparable store sales and 7% square footage growth. Diluted earnings per share expected to be in the range of $2.91 to $3.13 this represents an increase of 7% to 15% over 2013 earnings per share of $2.72. With that I will turn the call back over to Bob.
Bob Sasser: Thank you, Kevin. In summary, during 2013 our comp store sales increased 2.4% and total sales grew 6% to a record $7.8 billion. We achieved 12.4% operating margin and earnings per share increased to $2.72. 2013 was a year of great accomplishments we opened 343 new stores in 2013 expanded relocated 71 stores and ended the year with 4,992 stores and square footage growth of 6.9%. We expanded frozen and refrigerated products to 608 stores for a total 3,157 stores across the US. We opened a new 1 million square foot fully automated distribution center in Windsor Connecticut ahead of schedule and under budget and expanded capacity to other DCs San Bernardino, California and Marietta Oklahoma. As we entered our 28th year Dollar Tree can be proud of its record of steady growth and continuous reinvention while maintaining and remaining true to our core concept everything is still at Dollar Tree stores in the US. The Dollar Tree business model is powerful and flexible, it’s been tested by time and validated by history. The Dollar Tree model is now more relevant than ever providing extreme value to customers while recording record level of earnings customers know that even in a difficult economy at Dollar Tree you could still splurge everything is only at Dollar. We saw plenty of evidence of this in the fourth quarter with worst winter weather in decades our traffic was up when people were out shopping that came to Dollar Tree. I believe that Dollar Tree can do even better in the future and there is much more opportunity ahead of us than behind us we have multiple platforms for growth as we focus on serving the customer on our plans to grow and expand the Dollar Tree brand in the US through more stores and better stores. The deals brand to serving more customers with more categories. Dollar Tree Canada is positioned for profitable expansion in the new geography and Dollar Tree Direct continues to broaden its search and its reach to new customers throughout North America. We have plenty of opportunities to grow our business, a vision of where we want to go and the infrastructure and capital to make it happen while generating substantial free cash and we continue to manage our capital for the benefit of long-term shareholders. We invested more than $1.1 billion for share repurchase in 2013 and have another $1 billion authorization remaining. I am especially proud of our Dollar Tree associates from every department in the company who work hard to deliver on our promise of great value merchandise and stores that are full, fun and friendly for every customer every day. As we enter 2014 our inventories are clean and fresh the shelves are full of terrific merchandise for the spring, St. Patrick’s Day and early Easter shoppers. Our stock rooms are in great shape and our merchandise values have never been higher. We will now address your questions.
Operator: (Operators Instructions). And we will take our first question from Dan Wewer from Raymond James.
Bob Sasser: Good morning Dan.
Daniel Wewer – Raymond James & Associates, Inc.: How are you today?
Bob Sasser: I am doing terrific. I hope you are.
Daniel Wewer – Raymond James & Associates, Inc.: I am, thank you. Two questions. The comment you made on new store productivity was very helpful can you update us on how new stores are ramping in sales growth, in the following three years after they are opened?
Bob Sasser: Well they always ramp, the first year – I don’t know I have those numbers in front of me right now but just anecdotally we ramp up the next year – Kevin do you have?
Kevin Wampler: Yeah, Dan we look at it and we track them by class or Europe, obviously the first three years is when we get the biggest increase in sales but the more interesting thing from my perspective is the fact that if you go back and we track that from the classes 2000 going forward, every class continues to comp positive. So these stores even when they are seven, eight, 10 years old they continue to comp as a class positive. So it’s kind of counter intuitive and you don’t see that necessarily in all retail concepts but as we would continue to become more productive as an overall company as we’ve continued to broaden assortment in categories and continued to be relevant to the consumer we’ve been able to grow our productivity across all the stores. But you are right, the first three years you will see higher productivity from the comp perspective which is typically two to three times what the rest of the average class is doing.
Daniel Wewer – Raymond James & Associates, Inc.: Yeah, I was just trying to think, given 21% at your selling space three years of age or less is that giving you 2% comp sales gain in your pocket every day you go to work, just for that maturation of the junk stores?
Kevin Wampler: I mean obviously they do provide a bigger part of the overall comp but from our perspective the more important thing is to keep all category of classes going forward on comping positive.
Daniel Wewer – Raymond James & Associates, Inc.: Then my second question Bob historically during years that minimum wage increase has correlated with very strong same-store sales growth for the value retailers. Now there is discussion about minimum wage up to $10 would you see that impact being on a Dollar Tree comp sales prospects as well as I guess your expense rate would increase with higher payroll?
Bob Sasser: Yeah, it’s sort of hard to predict Dan we don’t know first of all, when the rates will change and of course the proposal out there with the 7.25 going to 9 in 2015 and 10 in 2016 we’d look at that and what the impact might be that most recent federal minimum wage increase was in 2007-08 and ‘09 and we really saw little impact from that we measured at that time. I would think that a little more money in lower income person’s pocket would find its way into Dollar Tree store where we’re always striving to offer great values that at only $1 price point. The cost impact there would be some cost impact in the first year, depending on when it is, we’re higher than the minimum wage anyways there is 20 states now that have minimum wages greater than 7.25 so it would be after it and after change in the minimum wave the first year would likely see a little or no impact on the cost side and it just depends on where it goes from there but I feel confident we can manage to wage pressures, at wage increases we’ve been able to do so far. And I think we have a good plan to do that going forward with increasing productivity of our stores, increasing our sales productivity basing whether it’s minimum wage price cost increases or other cost increases that have come along. I think we’ve pretty good history to manage through those.
Daniel Wewer – Raymond James & Associates, Inc.: Yeah great, thanks.
Bob Sasser: Thank you.
Operator: And we will take our next question from Matthew Boss with JP Morgan.
Bob Sasser: Good morning Matt.
Matthew Boss – JP Morgan Chase & Co.: Hey, guys. So on same-store sales look we’ve seen the model generate mid-single digits during good and bad times more recently a low single digit track here. What’s the underlying multi-year run rate we should be thinking about, I mean do you guys believe that anything has changed, is anything flowing, I mean do you think that we could potentially get back to some of the comps we’ve seen in the past?
Bob Sasser: You know Matt our guidance is how we’re thinking about for the next quarter and the next year I will tell you that nothing has changed functionally, structurally, nothing has broken I will point to most recent quarter, it was really hard to see the underlying strength of our business many weeks of the quarter because of all the comparison changes with the shift in the calendar at last year’s 53rd week and now if you go into the superior weathers we had I think 14 name storms. I don’t even know their names I think they just started naming this year but seven in December and seven in January and that really did disrupt spot of not only our business but I assume everyone else’s too. But structurally we’re always looking to continue to drive the comp store sales increases we have initiatives in place that we think that we will continue to have healthy comp store sales increases, we’ll continue to manage our gross margin as we have for years. And we will continue to manage our expenses for contingent growth in our operating margins.
Matthew Boss – JP Morgan Chase & Co.: Great and then on the gross margin line I mean clearly it’s the noise in this quarter but how should we think about that line going forward particularly parsing out the merchandize margins I mean do you see continued opportunity on that line?
Bob Sasser: Matt I will let Kevin talk about parts of the gross profit but I just want to say though that the merchandize margin, merchandize markup we once again delivered maybe a little better than our plan on the merchandize markup we’re in control of that piece of it because we go to market for two purposes, one, to offer the most value for the $1 at a margin we’re willing to accept. So our initial mark up our merchandize margins are always well controlled through good times, through tough times, through recessionary times, through inflationary times we’ve always been able to manage that. I will let Kevin talk about there are few other components in gross profits for quarter I would let Kevin to describe it for you.
Kevin Wampler: So obviously coming through the fourth quarter good performance on the product margin side from the standpoint of really product again increased gains there were offset a little bit by increased shrink, we’ve seen our shrink increase this year not unlike some other retailers. So obviously we’re focused on getting that back to where we would like it to be, we were at historically low rates couple of years ago and obviously we have teams that are very focused at the big goal for the teams here to make that happen. As we look at the distribution costs obviously with the opening of Windsor this year that’s created some headwind as far as being able to leverage our distribution costs as well as we have in the past. We’ll obviously cycle that in the Q2 going forward this next year. So that obviously gives us an opportunity to hopefully see less deleveraging there going forward. Occupancy as always we’ve shown historically probably at a 3% or a little less we can potentially leverage occupancy as we go into the guidance really basically I think just to give you guys some color on that in general is a fact that, we’re really looking for gross profit to be relatively flat year over year improvement in SG&A we obviously believe in continue to drive improvement there and then the other factor affecting us next year is a higher tax rate. So we’re being affected in 2014 by the fact that the work opportunity tax program has not been renewed at this point in time. That has happened in other points in time over the life cycle of it given we’ve got a pretty integrated process our tax department has created a pretty integrated process with the party where we do a really good job of screening and qualifying people for that. It does become more important to it. Now historically they have – they put the program back in the place potentially later in the year and it would potentially be retroactive as historically how we’ve seen it happens. So we may get – if that would happen we would see the tax rate come down later in the year but that is a little bit of a headwind as well within the P&L as we go through 2014.
Matthew Boss – JP Morgan Chase & Co.: That’s great. Thanks a lot.
Bob Sasser: Thank you.
Operator: We’ll take our next question from Charles Grom with Sterne Agee.
Charles Grom – Sterne Agee: Thanks good morning guys. Just to clarify the guidance for the first quarter low single digit comps is that where you guys are tracking quarter to date?
Bob Sasser: Well our guidance assumes everything that we know, so we have included our quarter to date this year in to our guidance.
Charles Grom – Sterne Agee: Okay. Fair enough. And then in 2013 you guys installed a lot of new initiatives throughout the store the front end and increased SKUs in certain categories that obviously paid off particularly in front half of last year I am just wondering if you guys could shade some light on what you guys have in store for 2014, it looks like the cooler number are going to be a little bit lower, I just want to get if there is other part to the story, that you guys are going to be particularly focused on?
Bob Sasser: There is a lot we’re focused on a broad spot and it’s really staying focused on the customer and the customers’ needs and the things that they want. So we’ll continue to focus initiatives on in stock on basic things they need every day at exceptional value, when they come to shop we want to have those needs based products so that they can complete their shopping trip and when they are in the store, we want seasonal energy, we want them to see the changing of the seasons with the new season, next season, fun things color, exciting things, things they didn’t expect. We always strive, we point a lot of initiatives at full fun, friendly stores, that are well stocked and customer engagement stores, these are initiatives that continue to – we work with our store associates to greet our customers, we’re self-service to a large degree but when you see a customer and you’re within smile and greet them and make sure that their needs are being met and all the way through to the front end, as they are going out our cashiers smiling and thanking them for their trip, offering them something else the new item that they may not have seen. So customer engagement initiatives are on our plate. We want stores that are first of the month ready, a lot of our customers get extra cash in their pocket at the 1st of the month. We want to make sure that our displays are chunky at the 1st of the month, we want fully well stocked stores. We’re going to continue to roll out our frozen and refrigerated it’s high value, it’s a category that does offer reason for a customer to come to our stores more frequently and as I said, we were planning 320 new frozen and refrigerated stores and expanding it in another 50 stores this year, throughout last year was the largest roll out that we had I believe in any one year 608 stores or something like that. So we began with the plan and we saw the opportunity to expand it and we continue to expand our frozen and refrigerated. Our category expansions of what we call our drive the business initiatives continue with drive the business in stationary and party, candy, max and a lot of our drive the business initiatives in our home department. We’re expanding more really, I believe that with our buying power now and our merchants are finding the ability to leverage that buying power into more value, bigger sizes, bigger saving. So we’re increasing the value, still a $1 but you get more for the buck than you’ve ever gotten before. And then the last thing I will just point to is, what we call initiatives around operational excellence we would like to offer the same great experience in every store to every customer, every day and we’re doing a lot of work around that, a lot of training, retraining, coaching and applying around our storage bay area, because that is the point of engagement for our customers.
Charles Grom – Sterne Agee: That’s helpful. Thanks good luck.
Bob Sasser: Thank you.
Operator: We’ll take our next question from Paul Trussell with Deutsche Bank.
Bob Sasser: Hey Paul.
Paul Trussell – Deutsche Bank: Hey good morning. Thank you for all the color you have given today on the call it’s been very helpful. I just wanted to move to deal stores in Canada. If you could shade a little bit more light on the top line and the margin trends you’re seeing in those smaller segments. So as those pieces of your store will grow a little bigger I just want to know how that will impact the model.
Bob Sasser: I am pleased with where we are, with our deals model we continue to improve, we continue to refine the assortment. In the fourth quarter we had one of our strongest seasons with some of the new categories expanded categories like toys we had expanded, assortments of party and catering in our deal stores that performed very well and our basic home area continues to perform well. The top line growth in our deal stores and the margin we really don’t break that out from the rest but I am pleased that I think we have opportunity to continue to drive more top line growth in our deal stores, typically we’re aiming those at the more urban environments that maybe underserved that have a lot of customers that need the kind of products that we sale at the value prices. From that we’re experiencing higher volume sales, higher sales per square foot the margin is lower, the margin rate we have a lot of initiatives around improving the margin rate in our deal stores as we go forward because I think that’s there to be done frankly. But deals are moving along as planned we have a huge opportunity, we have quantified how many stores deals can be, but I can tell you that it’s going to be a large number at the time that we have it right. Canada it has been really three years now and it’s been three years of investment in Canada we have invested in infrastructure we’ve put all of our – virtually all of our systems and all the ones would make a difference in Canada as we put all those in. We have invested in people and store teams we have invested in the re-bannering of all of the Dollar giant stores, now are bannered Dollar Tree Canada, that was completed in last year 2013. We’re investing in the assortment planning process and really the key that Canada now is all about the merchandize and it is all about the stores and it’s about offering the best value for a C$1.25 in the country and we’re capable of doing that we’re seeing some great excitement from the customers when we do that we can do better. We continue to find our way a little bit on some of the consumer products but I am pleased with our ability to get where we need to be in stock in business with our basics every day surrounded by all those great seasonal and unexpected values as you do in Dollar Tree US. So Dollar Tree Canada, we think we can run overtime up to a 1,000 stores in Canada and we expanded this year dramatically big percentage almost 29% our continued plan is to continue expanding it about 25% rate at store count.
Paul Trussell – Deutsche Bank: That’s helpful. And then just a question on what you’re seeing from lower income consumers, obviously you have a unique model with the single price point but as you kind of parse through the data, is there any different behavior you are noticing from the customers that do use, EBT within your stores, are they choosing for example the 30 peel private label headache medicine instead of the four pails of that deal, is their basket size changed at all? Any color you could provide on transfer income demographic will be helpful.
Bob Sasser: We take snap and we take food stamp ablate, the food stamp programs have been reduced I think the average customer stamp per recipient like $35 in their monthly food stamp, we haven’t really felt that but if you look at the numbers our percent of stamp transactions is running pretty consistent. It’s the small number anyway as I have always said it but I haven’t seen any impact on the percentage of our stamp benefit. In reality, I do know there is pressure, there has to be pressure when you take your lowest income consumers and take $35 out of your pocket there is an impact from that. As far as the basket size we really haven’t noticed any changes in that but there continues to be pressure on the consumer, there continues to be burden I think that we all see that in our stores. There are some signs of improvement in the economy but the pressure still remains unemployment is still stubbornly high, still higher cost of living impact, fuel and food and taxes, now living cost with the cold winter. I think there is obviously going to be more pressure on that and really just the anxiety of the uncertainty of the future all that remains a real strain on the family’s budget, our job at the Dollar Tree is to be part of the solution. We strive to provide products for our customers across the income spectrum that gives them balance of things they need, things they want, tremendous values just at Dollar clean bright stores, friendly people in our stores every customer, every store every day be greeted and treated especially well. So I can’t tell you that I see any of the numbers in our business I would tell you the pressure still remains. We’re still focused on providing the solutions.
Operator: And we have time for a couple more questions. We’ll take our next question from Meredith Adler with Barclays.
Bob Sasser: Good morning Meredith.
Meredith Adler – Barclays Capital: Hey guys. Good morning. Thanks for taking my questions. I respect the fact that you guys are always really conservative but other than the tax rate I am kind of scratching my head to understand why you’re really expecting pretty modest increase in net income. Because I mean it’s possible with we have another terrible winter next year but it’s hard to imagine that it’s worse than what we have now. And it’s really modest growth when you look at the second to fourth quarter, I understand the first quarters being pressured again by weather. But I know you’ve said there is no change in the underlying business but by putting the guidance out so low it says, if you’re saying you do think that there are some kind of underlying issues so I am a little bit confused?
Bob Sasser: Meredith I guess I would start with – I don’t think the guidance we have given is a whole lot different than traditional in the sense of the increase in earnings per share in that 7% to 15% range that’s been pretty consistent with the last couple of years I believe if you just go back and check. So I don’t think that’s necessarily significantly different. As we seat here today obviously the third and fourth quarter where we had our lowest comps in 2013 that’s the way it’s out there and as we go through the year obviously we’ll have the opportunity to adjust accordingly if there is reason to it. But I do feel that as we put our guidance together and work through it that we’re fairly comfortable with that low single digit comp increase. We did a 2:4 this year we obviously want to do better and are striving to do better. But there are a lot of different things going on out there, you heard Bob speak to the consumer and the pressures that are continued to be there and all the uncertainty if you take that into consideration obviously what we’re going to focus on is again, doing what we do best which is growing the brand, opening new stores, we’ve got 450 projects on the plans for this year the most we’ve done maybe ever, I guess in a single year. So we think that’s important if we can continue to think about that and how we can continue to improve our new store productivity there is a lot of things that we working on that hopefully at the end of the day, hopefully we will be able to exceed the guidance but at this point we’re very comfortable with where at with it and I think that’s kind of the background of how we got to it.
Meredith Adler – Barclays Capital: Okay. That’s fair. And if I could just ask a question about distribution you said that you are going to start work on the 11th distribution center and also expand Joliet this year. I was wondering if you will – will that continue to have an impact on distribution costs as a percentage of sales or the fact that you have got the new DC opened which is going to shorten the stem miles a little bit do they sort offset each other?
Bob Sasser: Well Meredith first of all we’re expanding our distribution network to provide to support our new store growth as well as our continued comp store growth. So we’ll be expanding Joliet this year we are also looking at DC 11 so we want to share with you, I want to share with you that we’re looking at the DC 11 it will be late in the year and it maybe not much spent actually this year but certainly DC11 is coming up. We do plan to continue to grow we continue to expand our store base as well as expand productivity of our existing stores. So as we grow, we’ll have to have capacity, so we’re building for our capacity we’re also considering costs, we’re considering stem miles inbound where the vendors are and how much it cost to get into the doors, we’re considering stem miles to our stores as we go forward and as we always have. So as we open up these new distribution centers, stem miles typically will be reducing so that will provide some positive aspect to our distribution cost, stem mile inbound may or may not reduce that’s the product that where the vendors applied. So all in all, I would expect DC10 to continue to get more efficient to deliver product receipt and deliver our products to our stores more efficiently, as we expand Joliet we are also going to be looking for efficiencies in the expansion to improve how we expand but also how we are delivering the products. So that’s my expectation for providing for capacity number one, number two, continuing to reap the benefits of decreasing our stem miles.
Meredith Adler – Barclays Capital: Okay, great. Thank you very much.
Operator: And we’ll take our final question from Matt Nemer with Wells Fargo Securities.
Bob Sasser: Good morning Matt.
Matt Nemer – Wells Fargo Securities: Good morning. Two quick follow-ups, first could you talk to the sustainability of the payroll expense improvements that you talked about in the fourth quarter as we look forward to the next few quarters? And then secondly, the cooler and freezer expansion number was quite a bit lower than last year, how much upside do you think there is to that 300-ish number and could you just remind us how many of your existing stores would be eligible for freezer and cooler expansion? Thanks.
Bob Sasser: Matt that freezer and cooler number changes every year because we keep opening new stores every year. We put it in most of the stores that we open as long as there is no restriction in our location as long as the store size that will fit in, sometimes we open smaller store to put that in and also stores of a volume. So there is a three few criteria, we usually meet those restrictions though however, they do take us out of putting them all new stores. So as we go forward we will have more every year, as we open up new stores we will have more freezer and cooler stores, it won’t be all the new stores typically but it would be some of those. And then we’re always going back and looking at the existing fleet for those same type of criteria because we open up a store and it may be of a volume that we’re not putting the freezer and cooler in, but it grows overtime. So as it comps up year-over-year then it reaches our volume, then we make profit for those. So it’s hard to say exactly how many it can be because we keep growing I think we’ve characterized it at about 300 a year for a while and for this year it’s 320 there is also opportunity that we’re finding as our business continues to grow to go back and expand some doors in some existing stores that we’re doing 50 of those, that we’ll achieve. So I think frozen and refrigerated is going to be with us as a growth category for quite some time. We’re growing the store base faster as we’re putting it in.
Kevin Wampler: In regards to your question Matt, in regards to wages and the continued productivity, just like the rest of our business we have initiatives there to help our stores and help them become more efficient if you would look over the last number of years we have had initiatives around store task scheduling to make things consistent across stores and help them understand what needs to be done when and so forth. We’ve got automated scheduling systems now that helps them as far as making sure we have the right number of people at the right times of the day in the stores. When we’ve done things from a merchandize standpoint, you’ve heard me speak in the past about flow of inventory and how it makes us better when we flow it at a more even level and kind of take out what we referred to as the violent peak such that they can handle in a much better way. So that not only helps the DC but it also helps the flow to the stores and it allows them to get it to the floor much faster at the end of the day in a much more efficient way. So the interesting thing I think is if you look at maybe the last 10 years we have seen our average hourly wage go up maybe a little less than $2 an hour we’ve actually seen our wages as a percent of sales down about 20 basis points. So we’ve obviously gotten more productivity obviously sales productivity helps that but also just demand initiatives that we consistently work towards to help our overall ability to affect that line item and it’s an important line item because it’s the biggest line item of expense on our P&L at the end of the day.
Matt Nemer – Wells Fargo Securities: Great. That’s helpful. Good luck for this year.
Bob Sasser: Thank you.
Operator: And this does conclude the question and answer session, I would now like to turn the call back over to Tim Reid for any additional or closing remarks.
Timothy Reid: Thank you, Devonah. Thank you all for participating in the call, for your interest in the company and especially for your investment in Dollar Tree. Our next conference call is scheduled for May 22nd 2014. Thank you.